Operator: Greetings, and welcome to the Fuel Tech Inc. 2018 Fourth Quarter Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Devin Sullivan, Senior Vice President of the Equity Group. Mr. Sullivan, you may begin.
Devin Sullivan: Thank you, Doug, and good morning, everyone. Thank you for joining us today for Fuel Tech's 2018 fourth quarter and full year financial results conference call. Yesterday after the close, we issued the release, a copy of which is available at the company's website, www.ftek.com. Speakers on today's call will be Vince Arnone, the Chairman, President and CEO; and Jim Pach, the company's Principal Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I'd like to remind everyone that matters discussed during this call, except for historical information, are forward-looking statements as defined in Section 21E of the Securities Act of 1934, as amended, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech's current expectations regarding future growth results of -- future growth in results of operations, cash flows performance and business prospects and opportunities as well as assumptions made by and information currently available to our company's management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks and uncertainties and other factors including, but not limited to, those discussed in Fuel Tech's annual report on Form 10-K in Item 1A under the caption Risk Factors and subsequent filings under the Securities Exchange Act of 1934, as amended, which could cause Fuel Tech's actual growth, results of operations, financial condition, cash flows performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect future events, developments or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties, including those detailed in the company's filings with the SEC. With that said, I'd now like to turn the call over to Vince Arnone of Fuel Tech. Vince, please go ahead.
Vincent Arnone: Thank you, Devin. Good morning, and I want to thank everyone for joining us on the call today. I'm here today with Jim Pach, our Principal Financial Officer and Controller. We are very pleased to report our 2018 results. We ended the year with two of the strongest quarters in our recent history, which allowed us to report our first annual operating profit since 2013. Annual revenues rose by 25%, SG&A declined by 11% and we generated $4.9 million of cash from operating activities. Total cash rose to $18.1 million, and we remain debt-free.  These results reflect the culmination of a multiyear reorganization program that was directed towards the singular goal of returning our company to operating profitability. They also reflect the resiliency, drive and perseverance of the Fuel Tech team. Most importantly, we believe that our current organizational structure and lower cost profile signal a new beginning for Fuel Tech that will allow us to realize improved operating efficiencies and support increased profitability on a global basis. In 2018, we demonstrated the continuing evolution of our portfolio of technology solutions and its ability to adapt to various fuel sources. In 2018, approximately 60% of total APC revenue was derived from natural gas applications, up from 21% in 2017 and only 4% in 2016. Our ULTRA and SCR technologies are especially well suited for use in conjunction with natural gas turbines for power generation, and we are making a concerted effort to focus on becoming a preferred supplier for these applications. Our portfolio of strategic business relationships with multinational industrial end-users continues to grow, and we will continue to partner with companies that require our technology portfolio to complete a larger-bid package. We still believe that coal will remain part of the fuel source matrix for years to come, while acknowledging that its use will likely continue to decline. For these customers, our FUEL CHEM business will continue to assist coal-fired power generation in their effort to burn lower-quality fuels more cleanly and efficiently.  Now let's discuss our financial results. Revenues for the fourth quarter of 2018 increased by 18.2% to $15.8 million, driven by higher revenues at both our APC and FUEL CHEM business segment. SG&A declined to $4.8 million from $4.9 million in last year's fourth quarter, reflecting the continued positive impact of the cost-containment initiatives that we have executed over these past 3 years.  Operating profit nearly doubled to $867,000 in the fourth quarter, and we generated adjusted EBITDA of $1.2 million. Results for the fourth quarter of 2018 included losses from China of $400,000, which were comparable to the losses incurred at our China operations in the fourth quarter of 2017. We will discuss the suspension of our APC business operation in China in a few minutes. Our full year results were also quite strong with revenues of $56.5 million, up 25.2% from 2017. SG&A expenses for all of 2018 declined by $2.4 million or 11.3% to $18.6 million from $20.9 million in 2017. We posted a modest operating profit of $110,000 for the full year of 2018, which represented our first annually -- annual operating profit since 2013. Adjusted EBITDA was $1.5 million compared to an adjusted EBITDA loss of $3.5 million last year.  Results for 2018 included operating losses from our China operation of $1.9 million as compared to operating losses of $1.3 million in 2017. We continue to make progress towards the suspension of our China operations, and we expect that the activities associated with this suspension will be substantially completed by the end of the second quarter of this year. As we wind down these operations, the associated losses will disappear. With respect to business development, our near-term business activity remains promising. We had -- excuse me, we have been closely watching the bid processes for $5 million to $10 million in near-term contract award potential, and we were pleased to announce $3 million in new awards yesterday afternoon. We continue to pursue an active pipeline of additional business that we expect to impact 2019 financial performance. Our primary business highlights since our last earnings conference call are as follows. First, for our FUEL CHEM business segment. For the 2018 fourth quarter, revenues increased 34.6% to $5.3 million and by 4.4% for the full year to $18.1 million. Gross margin for the fourth quarter and full year was 51.1% and 49.8%, respectively. Early in the third quarter of 2018, we added a new coal-fired unit at an existing customer in the Midwest. This was the first incremental coal-fired unit that we added to our customer base in about 4 years. This unit ran at near full capacity for the third and fourth quarters and generated incremental quarterly revenue of approximately $500,000 per quarter at our historical FUEL CHEM gross margin of approximately 50%. The addition of this unit, along with the anticipated performance of our other coal-fired FUEL CHEM accounts, bodes well for 2019. As we discussed on last quarter's call, we added a new commercial account for RECOVERY CHEM in Indonesia via our licensee Amazon Papyrus. While the financial contribution from this one account to our overall financial position is not material, the fact that we have a commercial success in Southeast Asia will assist in our efforts to expand our RECOVERY CHEM technology in this geography.  Next, for our Air Pollution Control business segment. For APC, as I noted previously, we are pursuing a solid pipeline of contract opportunities on a global basis for the entirety of our technology suite. Domestically, these APC opportunity is focused primarily on ULTRA and SCRs for industrial applications, whether they be for new site developments or in support of Title V permit renewals, and we expect the -- and we expect orders for these technology applications to represent the majority of our contract bookings in the near future. Further, most of these applications are in support of natural gas as a fuel source.  With respect to our wider product portfolio, SNCR technology remains applicable on an as-needed basis for units requiring compliance with the latest round of Casper, Regional Haze and state-specific requirement for Reasonably Available Control Technology, or RACT, while ESP upgrades are being driven primarily by maintenance requirements for both utility and industrial unit. We do not expect significant impact from new regulatory drivers in 2019, so we will not comment further at this point in time.  In Europe, we continue to market our technologies in the wake of both the European Union's Industrial Emissions Directive in BREF, which is the best available tech -- reference technology guidelines. This later guideline reduces target NOx emissions from current levels and includes the regulation of mercury for the first time. Countries such as Poland and the Czech Republic, which rely heavily on coal, will need to upgrade their current DeNOx systems, as well neighboring countries in the Balkans and Turkey. We are currently pursuing bids for our SNCR, SCR and ammonia delivery system technologies in multiple countries in Europe and with multinational European partners for technology deliveries in non-European geographies. We continue to pursue opportunities associated with our various licensing agreements. Including our exclusive licensing agreement with ISGEC Heavy Engineering Ltd. As discussed in prior quarters, the Indian government had backed off of the aggressive compliance targets originally set for the power generation industry due to the high overall cost of compliance and have been operating under a phased approach, prioritizing particulate matter first, then SOx and, finally, NOx control. This approach has presented an opportunity for Fuel Tech to demonstrate our Flue Gas Conditioning technology in the marketplace. FTC, as it's known, is a low-cost, highly effective particulate control technology that can be used in some cases to meet particulate emissions requirements when compared with a high capital cost of ESP and back filter hybrid solutions. We are currently in the bid process final opportunity for an FTC system and expect that we will have more bidding opportunities in the near term.  The demand for our SNCR systems has built up slower than originally anticipated, but we are finally starting to see some bidding opportunities come to the market. We will continue to report on our progress in this marketplace in the future. And finally, for our water treatment initiative. We continue to make good progress with our water treatment pursuit via our previously announced exclusive license agreement with NanO2. The proprietary nozzle design creates bubbles that vary in size from 100 to 1,000 nanometers, creating 1,000x more surface area versus fine bubble aeration. We believe that the NanO2 technology has multiple market applications in the power generation, oil and gas, and pulp and paper industries, among others. The lab scale system that we purchased in the third quarter of last year to better understand and document the capabilities of the technology has already provided valuable process data that our technology team will use in support of developing future applications. And the demonstration scale system that we purchased in the fourth quarter of last year is now fully retrofitted as a mobile system and is ready to be deployed to potential customers. We are in discussions with multiple potential customers, and we target to have a demonstration up and running early in the second quarter of this year. In closing, I want to thank you, once again, for your ongoing interest in Fuel Tech. 2018 was a pivotal year for our company. After the implementation of a multiyear program of restructuring measures, we returned to profitability in 2018. The completion of the suspension of our China operation in 2019 will enable improved profitability overall for the company as a whole. We believe that we now have a platform, upon which we can achieve sustainable profitability and long-term growth.  To this end, for full year 2019, we expect to generate, both income from continuing operations and positive cash flow for the second consecutive year. I cannot thank the Fuel Tech team and the remainder of our stakeholders enough for their support during our journey over these past few years.  I'll now turn things over to Jim for a discussion of our financial results. Please go ahead, Jim.
James Pach: Thanks, Vince, and good morning, everyone. We are very pleased with our results for the year, especially the strong second half. For the fourth quarter, revenues totaled $15.8 million, reflecting a $1.1 million revenue increase for APC and a $1.3 million increase at FUEL CHEM as compared to last year's fourth quarter. For the full year, APC revenue increased 38.2% to $38.4 million and FUEL CHEM revenues rose 4.4% to $18.1 million. APC backlog to revenue conversion remained strong through the fourth quarter. Our December 31, 2018, backlog was $12.4 million, down from our September 30, 2018, backlog of $21.3 million. As Vince has previously mentioned, we are actively pursuing a number of promising contracts in the U.S. and Italy, which we expect to close in the near term. Our overall gross margin declined to 37.3% of revenues from 42% in Q4 2017 due predominantly to the mix between APC and FUEL CHEM revenues recognized during the quarter between products and geographies. APC gross margin was $3.2 million or 30.4% as compared to $3.8 million or 39.9% in the fourth quarter of 2017.  Results in Q4 2017 of our APC business reflected fluctuation in gross margin quarter-over-quarter due to project and geography mix as well as a favorable impact of a customer change order of $0.7 million, which was finalized in the fourth quarter of 2017. FUEL CHEM segment gross margin was $2.7 million or 51.1% as compared to $1.9 million or 47.2% for the fourth quarter of 2017. The improved gross margin reflected the addition of a new unit in an existing customer during the third quarter of 2018. For the full year 2019, we are targeting a blended APC and FUEL CHEM gross margin of between 35% and 40%. Selling, general and administrative expenses continued their downward trend, coming in at $4.8 million or 30.2% of revenues from $4.9 million or 36.5% of revenues in last year's fourth quarter. On a comparative quarterly basis, SG&A has declined in each quarter of 2018. On a year-to-date basis, SG&A declined by $2.4 million or 11.3%, while revenues increased by $11.4 million or 25.2% as compared to 2017. For the full year 2019, we expect SG&A to range between $15 million and $16 million, which excludes China SG&A of approximately $1.6 million, which we expect to report as discontinued operations following the anticipated completion of the suspension of our APC activities in that geography by the end of the second quarter of 2019. R&D expenses remained steady at $1.1 million in 2018. For 2019, we expect R&D spending will remain comparable and may increase slightly from 2018 spending levels, driven in large part by our investments in the water and wastewater treatment market. Net income from continuing operation was $0.9 million or $0.04 per diluted share compared to net income from continuing operation of $1 million or $0.04 per diluted share in the last year's fourth quarter.  Results for Q4 2018 included revenues of $0.6 million from Beijing Fuel Tech as compared to $1.6 million in Q4 2017, and operating losses of $0.4 million for both Q4 2018 and 2017. For Q4 and full year 2017, results included an income tax benefit of $0.6 million, reflecting the correction of an error associated with the income tax accounting for the historical goodwill of FUEL CHEM. This is a revision to the prior year's financial statement. However, the revision was deemed immaterial and, therefore, does not require a restatement.  To note, we did not incur any material charges in the fourth quarter or full year of 2018 associated with the ongoing suspension of our China operations. However, as a point of reference, we have broken out the Q4 and full year revenue and operating losses generated by our Beijing Fuel Tech subsidiary, which are included on our consolidated results of operations. We do expect to incur charges related to the suspension of Beijing Fuel Tech beginning in the current first quarter and that consist primarily of severance cost for our employees of approximately $0.5 million and $0.1 million associated with the early termination of our lease in early July. The company expects to incur other disposal and wind down cost, and an estimate of these charges has not yet been quantified. We generated cash from operating activities of approximately $4.9 million for the year ended December 31, 2018. This reflected a strong quarter of collection of accounts receivable as evidenced by an $8 million decline in accounts receivable at December 31, 2018, from $26.4 million at December -- or September 30, 2018. As of December 31, 2018, we have cumulative net operating losses totaling $26.1 million in several geographies in which we currently do business. These NOLs allow us to offset future taxable income to reduce our overall income tax exposure. To that end, we have approximately $10.4 million to offset future U.S. taxable income, $5.5 million to offset future taxable income in Italy and $10.2 million to offset future taxable income in China. As a result, we continue to expect our income tax expense for 2019 will be at or near 0. With respect to China, although we are in the process of suspending our operations there, we do intend to preserve the legal entity, thus maintaining the NOLs. Our balance sheet at December 31, 2018, remained debt-free. And we had cash and cash equivalents of $18.1 million or $0.75 per share, including restricted cash of $6 million. We continue to monitor our liquidity in all of our geographies. Our working capital balance at December 31, 2018, was $23.6 million, which will continue to support our ongoing operating needs of the business. With respect to valuation, our book value per share was $1.41, our tangible book value per share was $1.27 and our working capital per share was $0.97 at December 31, 2018. In addition, we have approximately $0.66 per share in deferred tax assets for the U.S. and Italy, which have been fully reserved and are not included in any of the per share amounts quoted above.  With that, I would like to turn the call back over to Vince.
Vincent Arnone: Thanks, Jim. Before I have the operator open the line for questions, I wanted to acknowledge a couple of questions that were submitted via e-mail from Thomas, one of our private investors. Question number one, first question is related to the required time frame for fabrication of one of our DGI systems. The question is, what is the lead time for fabrication of the DGI system in its trailer form? And is the fabrication in-house or subcontracted? In answering this question, both the fabrication of the equipment for the skid mounted delivery system and the process of efficiently configuring this delivery system and ancillary equipment in a mobile trailer is outsourced. We currently buy the DGI delivery system from our licensor, and we work with one of our preferred fabricators to mount the system in a trailer. This time frame from order to completion is 18 to 20 weeks.  And then question number two, it's related to our licensee in India, ISGEC. The question is, ISGEC has awarded many contracts to a company called Envirotherm for the supply of ESP units. We have Fuel Tech's FTC technology. Can it be supplied for incremental benefit with any of these ESP units? In answering that question, ISGEC does have a license agreement with Envirotherm for their ESP technology, and they've had this in place for quite some time. The ESP installations using Envirotherm's technology have generally been on smaller boiler units. Our FTC technology is best suited for large coal-fired boilers that fire high-ash coal with high resistivity.  Okay, with that, now let's open the call for questions. Operator, please open the line.
Operator: [Operator Instructions]. Our first question comes from the line of Sameer Joshi with H.C. Wainwright.
Sameer Joshi: So the first question is this morning you also announced a $3 million order from various customers, but all destined for China. Is this -- should we consider this to be a onetime order -- or onetime orders from China? Are there -- of the $100 million pipeline do you have -- you have, what proportion of the orders are from China?
Vincent Arnone: I would -- in answering this, Sameer, I would say that -- but 2 things: number one, I would not considered them to be onetime necessarily. But then number two, the greater dollar value of what's in our pipeline as we sit here today is definitely outside of China and predominantly domestic here in the U.S., okay? What we're seeing is a -- it's an interesting trend, whereby we work with a lot of multinational companies, but a lot of these multinational companies are actually supplying their product in other geographies. And in this case, for a couple of these awards, they're supplying their technologies into the China marketplace. So we -- we're actually engaging in contracts here in the U.S. with the U.S. multinational for delivery in China. We're also engaging in contracts with a multinational European company or companies, but also for deliveries in China. So that's not going to stop. I think we're going to continue to see that. But generally speaking, the larger dollar value of our anticipated future contracts will come domestically.
Sameer Joshi: So is -- are we correct in understanding that the reason for withdrawal from China is for operation cost control and, at the same time, you do have these partners with that kind of access to customers in China? Is that a fair assessment?
Vincent Arnone: I'd say it's a very fair assessment, Sameer. We've been watching the China marketplace for quite some time. The ability for us to compete locally with many, many local Chinese companies that offer price points that we just can't complete -- compete with. And also they're offering technology solutions that we don't believe there is high quality or high value-added as what we supply, but they're evidently offering, what I would call, good enough for certain customers in that marketplace. But it's driven us to a point, whereby we don't believe that, locally in China, with our legal entity, we can generate profit prospectively. So that's what's driving our decision primarily. But the fact that we do still have opportunities through multinational business partners to have delivered solutions in the marketplace is just a benefit for us.
Sameer Joshi: Understood. The top line, last two quarters have been fairly strong at $16 million run rate roughly. Should we expect the same going forward into 2019? Or do you see any kind of seasonality playing during the first two quarters?
Vincent Arnone: Right. Too early for us right now, Sameer, to talk about, call it, a top line for 2019 because so much of the order flow is influx. And as you well know, our top line, particularly with APC, has an ebbing and flow to it, okay? In my commentary for '19, right now, our focus is generating operating profitability for second year in a row and a positive cash flow. What we've done as a company is we've lowered, call it, the revenue generation threshold that we need to achieve to be breakeven. And so we're really, really pleased about that, so we can stomach a slower revenue year if we needed to do so. But on the other hand, if we're able to achieve a revenue number that's comparable to what we achieved in 2018, our operating profit is going to be significant, okay? So let -- one more comment and then I'll let you continue. You always have to follow the backlog that we have at the end of the preceding quarter going into the next. And obviously, the FUEL CHEM run rate is something that you can pretty much follow from year to year and you can get an idea of how that's going to play out over the course of the year on a quarter-by-quarter basis because we do have some seasonality there. But we did end 2018 with a little over $12 million in backlog. Our conversion of that $12 million into Q1 approximately, I'm looking at Jim, 50% of that, thereabouts, but it's going to range. And then for the FUEL CHEM number for Q1, I would say, Q1 of '17 is probably a decent proxy just in terms of how we look at -- how we're going to begin 2019, okay? But we have a long way to go. The contract that we just awarded -- that we were just awarded and announced yesterday are a start. We have a lot more that are in the pipeline. And we're anticipating a good year.
Sameer Joshi: Understood. And just one clarification. The $3 million backlog is not included in the $12.4 million, right?
Vincent Arnone: The $3 million award, correct, was not included in the $12.4 million, correct.
Sameer Joshi: Understood. Going on to the NanO2 demo system, it is ready to go. Are there multiple partners or customers that you are in talks with for this deployment?
Vincent Arnone: Yes. We are talking with multiple customers as we sit here today. We're still targeting demonstration early here in Q2 or as quickly as we can get our trailer out there and in place to go ahead and demonstrate the technology. We're going to need a good solid positive reference demonstration as a means for expansion into some of the marketplaces that we're talking about. Our first target is likely to be in oil and gas application. As we see, that is possibly the largest near-term opportunity for the technology. But without a positive reference demonstration, it's going to be difficult for us to make some steps into those marketplaces. So that's our target, but we're ready to go.
Sameer Joshi: Understood. On the -- moving to the balance sheet and working capital management, I think it's the -- it's good to see the accounts receivable days on hand improved. Do you expect this to -- this trend to continue? Is there something systematically that you have changed that is helping this?
James Pach: I would say, Sameer, to answer that question, going into Q4, we had a lot of invoicing that we did late in September for milestone billing, so some of that was timing for some of our large APC projects we had outstanding. I do expect that to continue. Our AR is fairly consistent. No real issues from a collectibility. China is a different story. I think we've talked about that on multiple calls. We have about $5 million to $6 million of China accounts receivable that is part of the wind down. We are engaging our management team to work on collection. So that will be the one geography we are watching. We do have a reserve for that, and we have an action plan from now through June to collect the remaining AR there. But that's the only one that this tend to get stretched out in China just due to the nature of the business there.
Operator: Our next question comes from the line of Pete Enderlin with MAZ Partners.
Peter Enderlin: Just following up on that last comment about China accounts receivable. How big a reserve is that?
James Pach: About $1.2 million.
Peter Enderlin: Okay.
James Pach: Yes. The vast majority of our AR reserve covers China.
Peter Enderlin: Right. And regarding the decline in the gross margins for APC in the quarter, you mentioned product mix, geographical mix. And also a year ago, $700,000, I guess, was of a favorable effect from a changed quarter. So could you just give a little more color on the -- how much of it was geographical, how much was mix and just expand on that a little more.
James Pach: Yes. I would say the vast majority of that is going to be geographical in nature. In talking average numbers here, the U.S. tends to have APC margins between, call it, 35% and 40%. China, reason we're exiting the market is because those margins tend to be a lot less. I would quote anywhere from 10% to 20% as a broad range. And then Europe tends to be in the 20% to 25% range, although 2018 was a bit of an anomaly just given some of the projects that was much, much less than that.
Peter Enderlin: Right. But if China was down so much, that should help your gross margins as a percent, right?
Vincent Arnone: From a year-on-year perspective, absolutely. I think you've got to -- we -- there was a very favorable impact in Q4 of last year, so that performance was higher than normal. We would normally expect a weighted average number to be closer to a 35% number, okay? So our Q -- for this year, being in the, call it, the lower 30s, not too far from what we consider to be our weighted average overall. But the geographical impact did have an impact. That's all. We're not expecting anything unusual prospectively.
Peter Enderlin: All right. And then on the DGI, I guess, you call it now, that's your term and NanO2 is the licensor basically.
Vincent Arnone: That is correct. DGI, dissolved gas infusion, is our marketing term for the technology application, correct.
Peter Enderlin: Okay. And you said that's not likely to be significant -- make a significant revenue contribution near term. So the question is sort of what does near term mean? In other words, could that be a significant percentage of revenues in 2020, for example?
Vincent Arnone: Yes. I think it's -- I would like to be able to sit here and say yes, but it's just premature. We need to be able to first do the -- as I mentioned, that successful demonstration to -- and then to better understand how quickly we can proliferate in a marketplace. I would like to say yes, Pete, but I think it's just premature for me to be able to make that comment today. We are anticipating over, call it, the near term 3 to 5 year time horizon that we're going to have an incremental business line. Right now, we're saying it's our water treatment pursuits. That's going to be a material contributor to the company as a whole. Now that we've largely finished, call it, our reorganization process in the company, particularly with the suspension of China, our focus is twofold. We need to continue to maintain our good base business segment performance with FUEL CHEM and APC because we still have great business opportunities there, but we need to grow an additional line of business for this company for the future. So 2020 may be a little bit premature to say material contribution, but it's our target to have an additional line of business that will be a material line of business in the near future here.
Peter Enderlin: Okay. Got it. And another use of the word near term when you talked about consistent level revenues from FUEL CHEM extending near term. In other words, how soon near term would occur, and this is how long you can go with consistent revenues at approximately the current levels for FUEL CHEM? So are we talking there again about a 2, 3, 4 year time horizon? Or can you not really have confidence that far out?
Vincent Arnone: I'd say, looking at a 3 to 5 year time horizon at this point in time, Pete. All things being equal, as we sit here today without any dramatic changes in market drivers, that's what we would look at today. We were fortunate to add an additional coal-fired unit in 2018. But as I sit here right now, I can tell you that we're looking at maybe adding a couple of additional coal-fired units in '19. They may not as -- be as material of a contributor as the unit we added in '18, but we are looking at some dynamics whereby some of the coal-fired units, in order to keep their cost structure down, they have to fire coals that are going to be a little bit of a lower quality in nature that those boilers are just not designed to burn. So we are seeing some of these inquiries come our way. I've said multiple times that we don't expect FUEL CHEM to be a growth business, and I don't see that today. I've said that I'd be happy if we were able to continue stable FUEL CHEM, pick your range, $16 million to $20 million over the course of the next 5 years, that would be fantastic. I'd be very pleased with that. But today, we're seeing some favorable activity.
Peter Enderlin: Yes. That's very helpful. And then one more and that is the natural gas related portion of APC was 60%, that's a pretty dramatic number. And I wonder where you may see that going on a longer-term basis.
Vincent Arnone: I think -- in the near term, Pete, I think that it may not be at 60% necessarily, but I think it's still going to be in favor of natural gas, just generally speaking, based upon the pipeline of awards that we were looking at here for prospective contracts. Natural gas is being used as the primary fuel for power generation. Our contract work that we win is going to go in that direction. That doesn't mean that we're not going to still see some coal-fired business, we will, and other fuel sources as well, but natural gas is the dominant market player as fuel source today. And our contract awards are going to reflect that.
Peter Enderlin: Well, not only dominant, it's still increasing, I think, overall for the industry. So are you saying that you may not even see it sustained at 60% or you're just not sure how much it would increase from here?
Vincent Arnone: Difficult to know how the mix would change at this point in time, Pete. But it's -- but my only comment is it's going to stay at a high level. It will stay at that higher level. But without knowing whether it increases or decreases, vis-à-vis, our other order flow that comes in necessarily, but it will stay at a higher level.
Operator: Our next question comes from the line of Bill Silk [ph] with Grace & White.
Unidentified Analyst: I just wanted to clarify, you'd mentioned the pulp and paper business. Did you say you had revenue in the quarter there?
Vincent Arnone: We did have some revenue for that account. As I said, though, it's not a material number. But we did have some in Q4, yes.
Unidentified Analyst: Okay. And then I assume you're bidding on other locations with that client as well as additional clients. Is that a fair statement?
Vincent Arnone: Yes. What we're looking at right now is a couple of opportunities for, call it, our next demonstrations in that market space. One of the things that I always try to remind people of relative to FUEL CHEM and general RECOVERY CHEM being specific to pulp and paper is that every time that we approach a new client, we have to do a demonstration of the technology before it becomes a commercial account. So it takes us a while to come to a point whereby a customer is commercial on the technology. So that's why it takes a longer period of time for us to get further traction and, particularly, and in Southeast Asia with this application, if you will. But we're looking at what is going to be our next target demonstration of the technology out in Southeast Asia right now. We believe we have a good candidate, and we're actually evaluating the data as we speak.
Unidentified Analyst: Okay. So there's nothing unique about that plant, the economics or the work at many of the other plants in Southeast Asia. Just a question if it's a longer-term cycle after you get your demonstrations out there, et cetera.
Vincent Arnone: The cycle is longer term, yes. And -- but secondarily, the return on investment proposition needs to be looked at unit by unit. That's the primary driver for them implementing the technology. So just because it was favorable on this one account in Indonesia does not necessarily mean it's going to be favorable at other locations. So picking the target accounts is really contingent on ensuring that, that unit is going to be a good candidate as well relative to there being a good justification for implementing the technology. If it's a brand-new, large unit, it only comes down for cleaning once a year. There's not a whole lot that our program can do for that unit because it won't be justified. But if it's a unit that it's having a level of difficulty, whereby their run times are 60 days or 90 days, they have to come down 4 to 6x a year for substantial cleaning, that's a different story. And so those are the accounts that we're looking for.
Operator: Our next question comes from the line of George Gaspar, a Private Investor.
Unidentified Analyst: Could you dissect in terms of this backlog comparison that you used, $12.4 million versus $21.3 million? Can you break down that $21.3 million as to what was China, U.S. and elsewhere and what the $12.4 million represented on a comparative basis?
James Pach: Yes, the $12.4 million, $11 million of that number was U.S. backlog and the remaining amount was international. In terms of the breakout between China and Italy, I would probably say about 50-50 is the difference between the 2. It's not much. In terms of it -- yes.
Unidentified Analyst: And then if you were to look at that $21.3 million a year ago, I assume that the China backlog still was a more -- a larger amount of that number.
James Pach: A little bit larger, but not significantly different. The total again is pretty significant. The U.S. backlog was approximately $19 million of that $21 million, so that was pretty significant amount.
Unidentified Analyst: Okay. All right. And then just elaborating, going forward from here, if you look at the international opportunities that you have maybe into the European market or elsewhere, can you talk a little bit about where you're going to try to emphasize international activity? And are you making progress at this point in time?
Vincent Arnone: We are, George. I mean, we -- relative to the international landscape, if you will, bidding out of our European office right now, we're pursuing bids in multiple European countries for opportunities. As I mentioned, on -- as part of my script, we have bids in progress for Flue Gas Conditioning work in India. Other international opportunities lie in South Africa. We haven't talked much about that yet, but we have developed a nice alliance with a solid engineering company in South Africa that's looking to work with their national utility and their national petroleum company. That's again on the landscape for the future, but we're building those relationships now. So our exits -- or I should say, suspension of our China operations is -- that's driven specifically by our inability to generate profitability in that marketplace, but that doesn't mean we're not going to be finding good opportunities for our products and technologies on a global basis outside of the U.S, if you will. The opportunities exist. And we are building some very nice relationships with some of the larger engineering companies and other technology providing companies that are multinational companies that will provide us benefit in the future as well.
Unidentified Analyst: Okay. All right. And then technology, getting back on the U.S. area here. In the natural -- in terms of power generation, your strong advocacy has been on the coal side, but you're kind of leaning into this industrial. And could you describe a little bit more of the opportunity that might be there in power generation associated with gas turbine power?
Vincent Arnone: Sure. What we're seeing is with any sort of new plant build, industrial plant build in this country, we're seeing that the choice of fuel is leaning towards natural gas. And whenever that's the case, any new source, even if it's natural gas, requires emissions control technology to be placed along with that power generation source. So we benefited from that general trend, if you will. We've talked a little bit about some of our data center work, whereby we've had in excess of $20 million in contract awards for data center work with a natural gas turbine supplier, okay? We expect that additional opportunities will come from that type of activity in the future as well, whereby, in this case, the primary source of power generation was renewables, but the back-up source was actually the natural gas-fired turbines. And they required, based upon how they were permitted, to put SCR technology on those units. So we're seeing different reasons in place today, George, that are driving the need for our technology applications on natural gas turbines. And I think that we're going to see more reasons as well for it prospectively as there's a lot of gas turbines that are put in place in different geographies in this country that, because of how they're running, as their permits expire, they're required to evaluate how or if they're going to require pollution control technology on the units prospectively. So we're watching all of that activity. So we believe that the natural gas fuel source is going to bode well for Fuel Tech. It's an excellent business for us over this past year, 1.5 years, and we expect more in the future.
Operator: [Operator Instructions]. Our next question comes from the line of William Bremer with Vanquish Capital Management.
William Bremer: You just articulated, in fact, what is going on the data center market. I was wondering if you -- have you been able to leverage that Tier 1 player with its two material orders there and possibly roll that out further? The first question. Second question, staying with this APC, I know you mentioned mix. I want to get a little more on pricing in that area. And specifically, has pricing been affected primarily in the domestic market? And then I have a follow-up on water thereafter.
Vincent Arnone: Okay. That sounds good. So with your first question, the entity that we've been working with on our first call, a series of contracts for the data center work, we are, actually, right now, starting up, call it, the first series of units from the first contract that was awarded at the end of 2017. We're just going through that startup process right now. And as of today, that startup activity is going well, okay? So in working with this party, we are working with them at looking at other opportunities for deployment of their turbines in different parts of the world. We don't have anything tangible as we sit here today, but we have had some inquiries that we are working with them on. A lot depends on the geography where these turbines are actually going to be deployed and whether or not that geography is going to require the necessary Air Pollution Control technologies. There are many geographies in this world that don't necessarily require the SCR technology to be implemented as part of their natural gas turbine.  So we have an excellent working relationship with this particular company, and we do look to expand with them as these applications can grow on a global basis. So we're following it closely. We now are coming up and being successful with startup on the first units that, again, reference makes a difference, so that will help. And we'll watch that closely in the future, okay? So that's question number one. Question number two on mix, okay? There is nothing necessarily that we're feeling from a pricing pressure perspective in any of our markets today, say, for China and then we're suspending there for obvious reasons, okay? So as we go through bid processes, we're just in the process of working through a -- one particular application right now, not under contract yet, but just as an example, whereby as a value-added, brand name supplier with a long history of success, okay, we bid as we normally would on contracts, whether it'd be in the U.S. or internationally. We expect as a company to be able to retain a good margin on the sales that we make. That's still the case today and that really hasn't changed as we're looking to bid on projects, either domestically or what we're bidding out of Europe, okay? We're always cognizant of the specific bid itself in terms of what we think is going to be required to win that work, okay, but it has to be good business. And the one caveat I'd say is that, on occasion, a good business requires some strategic pricing, if you will. If you want to target a certain application for certain reasons, and we do that as well on occasion. But generally speaking, we're not impacting -- we're not being impacted by any undue pricing pressures in the marketplaces that we're in today.
William Bremer: Great. That's good to hear. On the DGI initiative, I'm assuming it's going to be a more direct sales point of view. And I'm wondering if I could hear how you're thinking about developing your sales channel specifically for the water initiative.
Vincent Arnone: Good question. And I think that, as I mentioned a little bit earlier with one of the prior questions on DGI, it -- there could be multiple avenues as to how we actually put DGI in place. It could be multiple channels, could be multiple business models as well, Bill. It's just -- today it's just premature to say that it's going to be in favor of a direct sale versus selling through, call it, another organization that provides a larger water treatment solution to the end customer and being part of their, call it, abatement deliverables, part of their program. It's too soon to know. But as we get more information there, believe me, I'll share everything that we can. But I think as we sit here today, it could work in a variety of different ways.
William Bremer: And then finally, are there any additional sort of chemistries that you could include with the DGI initiative that's in your arsenal, depending upon, I guess, the pool, the pond or the waste that we're targeting?
Vincent Arnone: The opportunity to, call it, enhance the DGI system itself with incremental coal -- chemical treatment or application is something that -- when we first licensed the technology, it was something that was in our mind, okay? So we're not there yet, but it is something that we will be looking at to see if there's something that we can combine with the DGI solution that makes it more effective for certain applications. So it is something that we will look at.
Operator: The next question is follow-up questions from George Gaspar, a Private Investor.
Unidentified Analyst: Yes. Maybe you covered this. I just wanted to ask in power generation gas turbine power area. Maybe you've responded to this, but do you have opportunity in that area directly?
Vincent Arnone: We do. And I think that you may have cut off and you didn't have a chance to hear all of my answer previously, but we definitely do, George. And it's predominantly driven by plant expansion opportunities and natural gas being used as a chosen fuel source for those applications. And as you know, George, we've got a bit about what we've done on the data center side as well. And we do expect to see some additional opportunities there in the future also. But natural gas is being used as a readily available fuel source in markets and our technologies will work well with those applications. And we intend on focusing on those applications and bringing contract awards into Fuel Tech.
Unidentified Analyst: That's very good. I mean, this gas turbine power generation area related to power gen is a very significant thing. All you have to do is look at how much effort General Electric puts at putting out gas turbine power generators into the power generation market. It's very sizable and a lot of them have been around for a while. And I would think that, that's even more opportunity for you to get into that marketplace. So glad to hear that.
Operator: There are no further questions in the queue. I'd like to have the call back to management for closing comments.
Vincent Arnone: Thank you, Operator. I'd like to thank everyone for their time today. Good questions. Really appreciate it, and I thank everyone for their continued interest in Fuel Tech. For everyone's information, we will be presenting at the Sidoti conference in New York City on March 28, and we look forward to seeing some of you there. And lastly, thanks again to everyone that's stayed with us on our path over these past 4 years. 2018, as I mentioned, was a pivotal year for us, and we look to continue our improvement here in 2019 and beyond. Thanks very much, and have a great day, everybody.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.